Operator: Good morning. My name is Emily, and I will be your conference facilitator today. At this time, I'd like to welcome everyone to Boise Cascade's First Quarter 2019 Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer period. [Operator Instructions] Before we begin, I remind you that this call may contain forward-looking statements about the Company's future business prospects and anticipated financial performance. These statements are not guarantees of future performance, and the company undertakes no duty to update them. Although these statements reflect management's expectations today, they are subject to a number of business risks and uncertainties. Actual results may differ materially from those expressed or implied in this call. For a discussion of the factors that may cause actual results to differ from the results anticipated, please refer to Boise Cascade's recent filings with the SEC. It is now my pleasure to introduce you to Wayne Rancourt, Executive Vice President, CFO and Treasurer of Boise Cascade. Mr. Rancourt, you may begin your conference.
Wayne Rancourt: Thank you, Emily. Good morning, everyone. I'd like to welcome you to Boise Cascade's First Quarter 2019 Earnings Call and Business Update. Joining me on today's call are Tom Corrick our CEO, Nate Jorgensen our Chief Operating Officer, Mike Brown, Head of our Wood Products Operations and Nick Stokes, Head of Building Materials Distribution Operation. Turning to Slide 2. I would point out the information regarding our forward-looking statements. The appendix to the presentation includes reconciliations from our GAAP net income to EBITDA and adjusted EBITDA. I will now turn the call over to Tom Corrick.
Tom Corrick: Thanks Wayne. Good morning everyone. Thank you for joining us for our earnings call today. I'm on Slide 3. Our first quarter sales of $1 billion were down 12% from the first quarter 2018. Our net income was $11.4 million or $0.29 per share down from $0.94 per share in the year-ago quarter. The first quarter results reflected weaker performances in both businesses total U.S. housing starts declined approximately 10% compared to the same period last year. Single-family starts, the primary driver of our sales decreased by 5% and multi-family starts decreased 19%. In particular single-family housing starts in the western United States reflected significant weakness with the Census Bureau reporting year-over-year declines in that region in excess of 20%. Our Wood Products manufacturing business reported segment income of $11.6 million in the first quarter compared to $26.1 million in the year-ago quarter. These results reflect lower plywood pricing and lower volumes of EWP and plywood partially offset by higher EWP sales prices and lower OSB input cost. Depreciation and amortization was also lower due to the discontinued depreciation on manufacturing facilities curtailed and sold in 2018. Our building materials distribution business reported segment income of $17.5 million on quarterly sales of $908 million for the first quarter compared to the $32.4 million of segment income on quarterly sales of $992 million in the comparative prior year quarter. Lower average commodity prices and sales volumes caused a decrease in gross margin dollars in the quarter. On the strategic front, we successfully completed the previously announced acquisition of American Lumber in Birmingham at the end of April. I want to welcome all the associates at American to Boise Cascade. They have a terrific reputation for customer service in their trade area and we are delighted to have them as part of our distribution group. Wayne will walk through the financial results in more detail and then I will come back to provide our outlook before we take your questions.
Wayne Rancourt: Thank you, Tom. I'm on Slide 4. Wood Product sales in the first quarter, including sales through our Distribution Segment were $320 million down to 20% from first quarter 2018. As Tom mentioned, Wood Products reported segment income of $11.6 million in the first quarter. Reported EBITDA for the business was $25.4 million down from the $43.7 million of EBITDA reported in the year ago quarter. The decrease in EBITDA was due primarily to lower sales prices of plywood and lower sales volumes at EWP and plywood as well as higher per unit conversion costs. The per unit production costs were impacted by capital project related outages at our Kettle Falls, Washington and Chester, South Carolina plywood mills. Chester's partial production outage is expected to continue into early June of this year. The negative earnings impact were offset by partially higher, were partially offset by higher EWP sales prices and lower OSB costs used in the manufacture of I-joists.  BMD sales in the quarter were $908 million down 9% from the first quarter 2018. Sales prices and sales volumes declined 6% and 3% respectively. Excluding the impact of last year's acquisitions, the sales decline in BMD would have been approximately 11%. BMD reported segment income of $17.5 million or EBITDA of $22.6 million. This compares to segment income of $32.4 million and EBITDA of $36.6 million in the prior year quarter. The decline in income is driven primarily by a gross margin decrease of $10 million, resulting from lower average commodity prices and lower sales volumes compared with first quarter 2018 and a $4.1 million increase in selling and distribution expenses. The amounts for unallocated corporate costs and other items impacting our reported adjusted EBITDA can be found in the tables of our earnings release. The net of those items was negative $7.3 million in the first quarter 2019 compared with negative $6.8 million in the first quarter 2018. Turning to Slide 5. Our fourth quarter sales volumes for LVL and I-joists were down 10% and 17%, respectively, compared with first quarter 2018. Our volume declines for EWP were roughly in line with industry production figures for the first quarter, so we believe that weaker volumes are reflective of the slow start for the building season this year. Pricing in the first quarter for LVL and I-joists was up 9% and 7% from the year ago quarter reflecting price actions taken in early 2018 and ongoing management of our customer programs. Turning to Slide 6. Our first quarter plywood sales volume in Wood Products was 336 million feet, compared to 360 million feet in the first quarter 2018. A lower volume for plywood sales reflects modest downtime in response to weaker market conditions and the sale of the Moncure plywood facility during the first quarter. The $287 average plywood net sales price in first quarter was down 19% from first quarter 2018. April, 2019 plywood pricing was modestly lower than our first quarter 2019 average and current pricing remains more than 25% below last year’s second quarter average plywood price. Moving to Slide 7. BMD's first quarter sales were $908 million, down 9% from first quarter 2018. By product area, BMD sales of commodity products decreased [ph] 19%, general line products increased 3% and EWP decreased less than 1%. The gross margin percentage for BMD in the first quarter was 11.8%, flat with first quarter 2018. However, the gross margin dollars generated in first quarter 2019 were $10 million below the prior year quarter because of price deflation and lower volumes. BMD's EBITDA margin was 2.5% for the quarter, down from the 3.7% reported in the year ago quarter. With commodity pricing for lumber and structural panels currently well below second quarter 2018 levels. We expect price deflation and distribution to make for challenging revenue and earnings comparisons again in the second quarter. On Slide 8, we have set out the key elements of our working capital. Company net working capital, excluding cash, income tax items, assets held for sale and accrued interest, increased $77.1 million during the first quarter, representing a significant seasonal use of cash. The seasonal increase in accounts receivable and inventories was not fully offset by the increase in accounts payable. As is normally the case, we also use cash to pay out incentive compensation and customer rebate accruals during the quarter, reducing accrued liabilities. The statistical information filed as Exhibit 99.2 to our 8-K has the receivables, inventory and accounts payable data broken down by segment for those that are interested in more detail. I'm now on Slide 9. We finished the first quarter with $136 million of cash. Our total available liquidity at December 31 was approximately $502 million, which reflects our cash balance and availability under our committed bank line. Our capital spending, excluding acquisitions, is expected to be between $85 million and $95 million this year as we execute strategic projects at our manufacturing operations in Chester, South Carolina and Florien, Louisiana. Despite the lower book tax rate this quarter, we continue to expect our effective book tax rate to be approximately 26% going forward. I will now turn it back over to Tom to discuss our outlook.
Tom Corrick: Thanks Wayne. I’m on Slide 10. The April consensus for 2019 U.S. housing starts is 1.25 million, which is essentially flat with 2018. We believe important economic drivers behind the demand for new construction like job formation remain in place. However, affordability issues in many metropolitan areas, mortgage rate volatility and availability of construction labor are all influencing the pace of activity. While we believe housing starts could reaccelerate in the second half of the year, we are focusing on the areas we can control to drive both revenue and earnings improvement. In Wood Products, we are focusing on successfully completing our strategic capital projects and achieving operational excellence to drive improved returns. For BMD, the team continues to make good progress on seeking acquisitions in targeted geographic markets, looking at product line extensions and pursuing other avenues to drive sales and earnings. We would welcome any questions at this time. Operator, would you please open the phone lines?
Operator: Certainly. [Operator Instructions] Your first question comes from the line of George Staphos with Bank of America. Your line is open.
Tom Corrick: Good morning, George.
George Staphos: Hi everyone, good morning. How you are doing? Thanks for the details. I guess the first question that I had, can you – to the extent possible talk about what amount of downtime you took across your facilities in EWP and then to plywood, either in units or qualitative terms. And I know it's kind of hard to talk about downtime on a forward-looking basis, but any thoughts that you could share with us on that that would be helpful. And I had a couple of follow-on.
Mike Brown: Yes, this is Mike Brown. I can take a stab at that, George.
George Staphos: Hi Mike.
Mike Brown: Yes, how you doing? So the EWP, there really hasn't been any what I call, either market or capital related downtime in our EWP business. The way we run that part of the business is obviously related to the market demand that we experienced at any one time. On the plywood side, we have had some significant downtime in the latter part of last year and the first part of this year, primarily related to – in the Pacific Northwest, it was weather related and some market related downtime, in total that may have amounted to a couple of weeks worth of equivalent production. In the south or the southeast, I think you're aware, we've had a pretty significant capital project that's been ongoing now at the Chester plywood facility that started in late February and in total will run for about 12 or 13 weeks. And so the Chester plywood facility, that's going to represent a reduction in about 40% of the output for about just 12 weeks. So there has been some reasonably significant amount of downtime. It's primarily related to either weather, a little bit of market, primarily in the Pacific Northwest and then the capital project in the east.
George Staphos: Thanks for that. And then if we consider Chester as well as Florien, what other strategic capital projects might you have ahead, that would be required as you kind of get – whatever the market had going forward.
Mike Brown: Yes. Looking forward, George, as it relates to the Chester, I think Wayne mentioned that will come to a conclusion and start the ramp up phase in late May. And by the end of the quarter, I think we'll be at full speed at Chester. As relates to Florien, that's a very big project, it really spans 18 months to two years. In total, we're going to have I think a week or two, this year at the very, very most, but it won't be in one concentrated event. Instead of we're going to take extended downtime as it likes to kind of maintenance phase maybe an additional day here and then around the holidays and then we'll do the same thing again in 2020, when we start the ramp up of that new log utilization center. So the impact on Florien in total volume this year is going to be relatively negligible to be honest. We’re going to try and minimize that as much as possible. And after that – after those two projects, we really don't have any really major outages planned at this stage.
George Staphos: Thank you. And then my last question and I'll turn it over. Can you talk about what effect you're seeing or what you’re saying toward the end of the quarter in terms of imports of plywood into the market? The data is obviously reported out at a lag, so it's kind of hard to say what's happening near-term. But are you seeing much effect at this juncture or is that the pickup in economic activity insufficient to absorb a lot of the supply that would have been coming out of South America, otherwise. Thank you.
Wayne Rancourt: Well, I can have a status show to Nick. I guess from the manufacturing perspective, the low pricing that they're willing to accept from – coming in from South America to set the low bar in the market. And the last time I looked at the data, which was comparing first quarter this year to first quarter last year, the total volume that is coming from Brazil was essentially equivalent, so not quite significant, but equivalent. So maybe Nick, you’d like to make some comments around how you're seeing it from BMD side.
Nick Stokes: Yes. Let me jump in for a second. George, the exports out of Brazil, just to give you some numbers for the first part of the year, we were just below 35,000 cubic meters in January, 56.5 in February, March had jumped up to 82,000 meters. And the data we just got in for April would say that there was 81,000 cubic meters that left Brazil bound for the U.S. so in total right now, year to-date, the U.S. has received about 34% of the exports from Brazil. And if you contrast that with a year ago, Brazil exports are just over 90,000 cubic meters in April to the U.S. and for the full year last year we got 33% of Brazil's exports. So not a huge change in the overall volume from Brazil but it still represents significant capacity particularly along the eastern seaboard.
George Staphos: Thank you, Wayne. I’ll turn it over.
Wayne Rancourt: Thanks George.
Operator: Your next question comes from the line of Brian Maguire with Goldman Sachs. Your line is open.
Derrick Laton: Hey, good morning. It's Derrick Laton on for Brian.
Tom Corrick: Good morning, Derrick.
Derrick Laton: Hey, good morning. Thanks for the details on the pricing kind of where we stand now relative to 1Q and it does look like since the first quarter ended, at least the moderation and the declines that we've seen so far, do you think there's any further outages that are needed in the industry for us to start really seeing any upward momentum in plywood pricing. And just maybe you could give us some sense of what you're seeing right now in terms of supply and demand in the market?
Tom Corrick: Mike, you want me to take a shot at that or?
Mike Brown: Yes, I think we have the same answer. Wayne, if you'd like to take the shot at the supply and demand balance probably…
Wayne Rancourt: Yes. On plywood, I think supply and demand are reasonably balanced but I would tell you there's not a lot of lead time issues if you're a buyer. And I think as opposed to 2017 or 2018 where plywood prices, we're getting a lot of support from the lack of OSB in the market that has long 180 degrees and there's plenty OSB around and the price differential in plywood is quite wide. So our view right now is that there's a limited amount of downtime taking place across the market and we suspect that there's a number of producers that are operating close to cash costs. So in terms of pricing, again on plywood, I think a lot of it will be driven if we get any pickups in industrial or repair and remodel activity. I don't see changes in housing demand or construction driving a lot of the plywood behavior. I think we're back to the fundamentals where we've got specific home building markets that have a preference for plywood. But I think what you're seeing on downtime and on pricing on plywood is very much driven by plywood fundamentals and the cost position across the industry. And we like others I think are managing our production where there's cash margin. And otherwise I think to Mike's earlier comment, we will use downtime as a mechanism where appropriate if we don't have orders or if we're finding ourselves running cash out of pocket at times.
Tom Corrick: Derrick, I would – this is Tom Corrick. I would add that, fundamentally until we see a material rebound in OSB pricing. I don't think we're expecting any material upward movement in plywood pricing.
Derrick Laton: Got it. Thanks guys. And may be just get your sense for plywood inventories in the channel. Are we starting to see that clear out at all or maybe any change here in the last few weeks?
Nick Stokes: Brian, this is Nick Stokes. Good morning. I think plywood inventories are very similar to some of the other commodity products. As you know, there's not a lot of data around that. But in conversations with customers and observations from conversations with suppliers, we have a belief that inventories are sufficient maybe on the fall side across all those product lines.
Derrick Laton: Got it. That's helpful. Thank you, guys.
Wayne Rancourt: Thanks Derrick.
Operator: Your next question comes from the line of Mark Wilde with BMO Capital Markets. Your line is open.
Mark Wilde: Well, Nick, you just answered one of my questions right there on the supply and the distribution channels. Sounds like there is plenty of inventory out there.
Nick Stokes: Yes, I think you've articulated fine, Mark, I mean, certainly a different dynamic than a year ago. And Wayne's earlier comment from a buyer standpoint, there's plenty of availability.
Mark Wilde: Okay. Is it possible for you guys to give us a sense of what you've seen so far in the second quarter in terms of April activity?
Wayne Rancourt: I think it's been decent, Mark. We're continuing to see some weather disruptions, mostly around rain and flooding. But I think where things are drying out, the activity levels picking back up, I think the biggest question we have is we moved through spring and into summer is there's a pretty decent backlog of builder activity and activity at the retail lumber yard level. But our view is that we are not going to be able to catch up on some of the weather delays that occurred in the first quarter just because of labor availability and the constraints around job site construction. So we think that the pace of business is decent in April and going into May and June, but we're not looking for an essence, a 40% pickup in activity just because we don't think the labor availability is there to, from an essence start to build and make up some of the deficits that occurred in the first quarter.
Mark Wilde: Okay.
Tom Corrick: Mark, this is Tom. I would add, the pace certainly feels better today, the last 45, 50 days has felt more normal than what we saw for the first two and a half months of the year, which was pretty slow for a whole bunch of reasons.
Mark Wilde: Okay. And then just turning to the engineered wood business, I'm just curious, pricing has been good there, but we're seeing costs come down, demand's been fairly static and we're conscious of a new competitor moving into the southeast, next year. I'm just like to get your general thoughts on maintaining EWP prices against that backdrop.
Nate Jorgensen: So Mark, it’s Nate Jorgensen. Specific to EWP pricing, what we're experiencing today is a pretty good balance in terms of demand and supply across most markets. So we aren't expecting any role change in terms of pricing as we go through the balance of this year relative to the new capacity coming on later this year or at some point the next year, really not a lot of discussion in the marketplace around that. So I think as we look at the balance of this year, we feel supply and demand on EWP is in pretty good balance and as result pricing should reflect that.
Mark Wilde: Okay. All right. And then the last thing I have for either Wayne or Tom. It just seems anecdotally when I kind of keep an eye on the trade press, maybe there's been a pickup in building products, distribution, M&A in recent quarters. And I wonder if you would agree with that if we're seeing kind of more consolidation taking place in distribution and maybe also get some thoughts on just sort of valuations on distribution businesses?
Wayne Rancourt: Mark. I'll take a shot at it. My sense is part of what's going on generally in transactions that we've worked on. It's been driven partially by consolidation, but I would tell you more than anything, it's been driven by people with succession planning, and looking at their time horizon. And I think the slowdown in the back half of 2018 may have reminded people of what the last slowdown look like, valuations are probably haven't changed a lot, but I think in terms of the expectation that we're going to get back to 1.4 million and 1.5 million housing starts and that there's substantial runway from here forward. I think some people have, with a decade since the recovery really started, I think some of them are aging into their 60s or 70s, in concluding that this is a good time to do an orderly hand off of their business.
Mark Wilde: Okay. All right. That's helpful, Wayne. I'll turn it over.
Wayne Rancourt: Thanks Mark.
Operator: Your next question comes from the line of Chip Dillon with Vertical Research. Your line is open.
Chip Dillon: Hey, good morning everyone. First question has to do with just maybe review where you stand in terms of your footprint. I know that both in plywood and lumber, you've shed some assets in the last year or so. And are you pretty much done with that program or do you think there could be more to go either in distribution or especially in Wood Products?
Tom Corrick: Chip, this is Tom Corrick. I think that we went through a fairly diligent process – structured process last year as we've tried to address some of these opportunities related to non-core assets or assets that were challenged financially. And I would say that I'm not – at this point, I don't think there's anything material on the horizon that we'd be looking at in either business.
Chip Dillon: Okay. Okay. That's helpful. And then, if you can review for us in engineered wood both LVL and I-joists, when was your last price increase and is there anything going on in the marketplace in pricing that and has it – I would imagine that as lumber has stayed soft that it would have more of a volume impact than a price impact, but any help along those lines would be appreciated.
Nate Jorgensen: Hey, Chip, it’s Nate Jorgensen. So on the EWP pricing, so that the announcement that we had on our last price increase was January of 2018. And so in terms of pricing, the expectations kind of going forward, again, I think things are in relative balance. And so even though some of the raw material prices may have been lowered in terms of the overall marketplace, again despite the balance is in relatively good balance. So that's kind of what we're expecting to see for the balance of certainly the building season and for this year. And again, we would expect pricing to reflect that.
Wayne Rancourt: Yes, Chip, this is Wayne. Let me add in a couple of points. The engineered wood for us and certainly for our larger competitors is the less price business, a lot of long-term relationships and a huge service component down through the supply chain, including obviously the wholesale alignment internally with Boise Cascade and down through the retail lumber yards. So if you'll recall the strong run in OSB and in lumber a year ago, we did not raise prices in EWP, in response to input costs. It's much more on the supply and demand and what's going on with EWP. So we didn't – we weren't able to maintain margins on the way up on lumber and OSB, a year ago and likewise, we're not retreating on less price simply because input costs that had to change. The other thing as we mentioned this morning, the major downdraft in single family starts in the West, this year relative to early 2018. And if you look at where I-joists are used, there are typically used in raised floor and in two storey situations, particularly in our case. So where you've got a disproportionate amount of construction going on in the U.S. south, southeast where there's a lot of slab on grade and in certain cases, single storey activity, you get less I-joists consumption because you have fewer raised floors.
Chip Dillon: Got you. That's helpful. And then lastly, as you look at your mill system and you think about CapEx next year, and I know it’s early. But at least directionally, do you see it more likely to be flat, up or down next year versus this year, assuming you don't make an acquisition – a big acquisition.
Wayne Rancourt: I think CapEx will be relatively flat. It may come down modestly, the major project that we'll have going in 2020 as the completion of a log utilization center at Florien. As Mike said, that's really about an 18 month project that will start later this year in earnest and carry into 2020. But we'll be through the project at Chester. BMD’s capital requirements outside of acquisitions are going to be reasonably flat. And then once we get towards the latter part of 2020 and into 2021 right now, there's no substantial projects identified in woods. So I would expect us to drop back down to the 75 to 85 level.
Chip Dillon: Great. Thank you.
Wayne Rancourt: Thanks Chip.
Operator: Your next question comes from the line of Kurt Yinger with Davidson. Your line is open.
Kurt Yinger: Good morning everyone and thanks for taking my questions. 
Wayne Rancourt: Good morning, Kurt.
Kurt Yinger: Yes, thanks. Just starting off, I was hoping you guys can maybe give some color as to margins in the western plywood operations and understanding you might not want to get into too many details, maybe just kind of talk about it relative to what you're generating in the south?
Wayne Rancourt: Yes. This is Wayne, let me do this. And then Mike, you can add in. I think it's safe to assume that given our product mix in western Oregon, which is really using residual veneers that we don't take into engineered wood to make on a relative basis commodity type panels. That would not be a fun product mix if you were a standalone plywood producer. If you're producing plywood in western Oregon or western Washington, you really need to do a high value product, just given the relative log costs. And that is not what we're doing. We're taking the higher value veneer and putting in the EWP. If you were to look at our mill in northeast Washington at Kettle Falls, it's exceedingly low cost, has very good throughput. And we've got decent cash margins in Kettle Falls today, even at the pricing we have. But again, if you were running a commodity plywood mill in western Oregon, given the log costs, you would not like the outcome, which is why a lot of the plywood industry that's running commodities is located in the U.S. south.
Kurt Yinger: Got you. No, that makes sense. And I mean, just taking it a step further. I mean, there's obviously kind of a common thread between what's going on in the lumber side between some of the curtailments and closures and what you just referenced them. I'm sort of wondering whether your expectation would be that over time, you might actually expect capacity to come offline in the west or whether you think prices right now are sort of subdued and that people will kind of wait it out.
Mike Brown: Well, I think you’ve got…
Wayne Rancourt: Go ahead, Mike.
Mike Brown: Yes. I think again, if you look at late 2016 through 2017 and end of the early half of 2018, I think the plywood industry in general got a bit of a reprieve given the shortages we had in OSB. So for a number of decades we've seen substitution of OSB for plywood and I think given the capacity overhang in OSB at the moment, you will see a number of OSB players trying to make a push into more value-added products in industrial. And I would suspect we will continue to see modest structural decline in plywood where the attributes of OSB work and are relatively substitutable. The cost of OSB is lower. So I think not unlike the GP announcement that occurred late in 2018, I would expect that if we see a log cost where they are, product pricing where it is, and if OSB continues to be at a discount, I think you will see capacity removals in plywood take place in 2019 and 2020 on some kind of reasonable pace. And I think you'll see ongoing substitution for OSB in to some of those end users as they make progress on the product development end.
Tom Corrick: And the other thing I would throw out there, Kurt is, that the log buying process is very much tied to the product price environment. And we obviously, purchased logs in advance as well as logs at the gate. And so it takes time to balance our cost of our log inputs back to the market. But certainly over some period of time, the lower cost producers can get back into a position where they'll generate some margins simply by reflected by the fact they can buy logs cheaper when the market is soft.
Kurt Yinger: Gotcha. Thanks. Now that's helpful color. And then one for Nick, I know you touched on it a little bit earlier, but I was hoping you could talk about maybe the demand pull you're seeing from the dealers and the home improvement channel and weather there's a big disparity there, or if anything's kind of surprised you about, actions or activity in the market over the last couple months.
Nick Stokes: The way I think about that Kurt is the home center business for the last, certainly in the first quarter had a little more stability to it. As you well know, home center business on the products that were involved with them have a large seasonal component, particularly as they start to ramp up March, April some of the building season related to projects and we've seen a nice – to Wayne’s earlier point we've seen a nice increase in those kinds of dynamics. I think from a dealer standpoint and if you contrast the first quarter of 2019 against the first quarter of 2018 very different dynamics in terms of price escalation, weather related, mill related supply challenges, certainly housing starts activity in certain parts of the region in 2019. And I think dealers just behaved pretty rationally in terms of matching their purchases to their demand and their forecasts. To your last question, have I seen anything weird or unusual? No weirder, no one more unusual than any other year or so. It's kind of steady as she goes.
Kurt Yinger: Okay, thanks Nick. And lastly, I was just hoping you might talk about, how you're thinking about your cash balance this year, and where ideally you think that would stand just given your available debt capacity as well.
Wayne Rancourt: Yes. So on kind of what we think of as capital allocation first priority, obviously is to fund the $85 million to $95 million we've got for internal capital towards growth and operational improvements. Nick and his team continue to look for tuck-in acquisitions, not this similar to what we just closed on the Birmingham, Alabama opportunity. We've obviously got the regular dividend at $0.09 a quarter. And to your point, we feel very good on where our debt levels are relative to our EBITDA and certainly relative to our cash balances. So really, the question is if we don't find good opportunities in distribution or adjacent opportunities on the manufacturing side, we will look at some combination likely as share repurchases and or other ways of returning cash to shareholders if the balance sheet is in good shape. But we're comfortable running with 120, maybe 150 in cash and get meaningfully above the 150 number we're probably going to look at various ways of getting cash back to shareholders just because we think it's inefficient from a return on capital to sit on excess liquidity. But our preference would be to grow the business if we can find the right opportunities.
Tom Corrick: Then I would note that there's at least a couple of things where we're up that'll be coming at us. And, whether we do anything or not, I don't know. But, certainly I think for the, balance of the next several months we will be probably pretty steady state position as we look at these potential acquisitions.
Kurt Yinger: Okay, great. Thanks Wayne. Thanks Tom. Then I'll turn it over
Operator: [Operator Instructions] Your next question comes from the line of George Staphos with Bank of America. Your line is open.
George Staphos: Thanks for taking the follow-on. Tom when you talk with your builder customers, what do they say whether took away from demand this year or said differently, if we could hold the same economic growth, the same wage level and all the other fundamentals that go into housing, what kind of demand pick-up could we see in 2020 relative to 2019. I know that's a really hard question. I'm not going to hold you it, but what are your customers saying was lost that you could potentially come back next year?
Tom Corrick: Yes, I think I'm going to hand that one over to Nate. He's a little closer to the market that I am on a day-to-day basis and certainly had some impact, but Nate if you could provide some color.
Nate Jorgensen: Yes George. So I think if you look at kind of the fundamentals of most of home builders, as we exited 2018, obviously there was a lot of headwind relative to cost of money, some concerns in terms of the economy. And I think as they transitioned into the early part of this year, including feedback from the international builder show, I think there was a right level of optimism in terms of what was in front of them. And obviously the challenges at that point in time were luckily weather related, the feedback that we get from the builder's ranging from the custom builder to the national builder and some of it is geographically based, in terms of kind of local economies and local trends. But there's a belief that, housing should continue to improve. And, I think one of the things that we continue to hear from builders is that the affordability is a key driver in terms of what that demand will look like. And so they're attacking that in various ways, including the size of the average square foot for single family construction. The continued focus on multi-family construction as well. So, I think the conditions overall from an economy and from unemployment, cost of money, those are all I think quite favorable but it's clear that the builders that we talked to are continue to be focused on affordability and making sure that the first time homeowner can actually get into the home. So I guess where we see continued, opportunity and housing start improvement is as long as those conditions remain in place.
George Staphos: But there is a common denominator or view from your customers in terms of what amount of volume was lost this year. That will return next year. But it was lost due to weather and other disruptions. And if that's the case that's fine. I just want to confirm that.
Wayne Rancourt: Yes and I think the way I would describe it Georgia is, if we were at a $1.250 million to $1.260 million a year ago, I think we will be challenged to hit that based on what we're hearing from our customers in 2019 not because demand will be weak in the backup of the year, but just trying to catch up with the volume that was lost in the front half of the year. Having said that, I think we'll be on a build pace in the $1.280 plus range by the time we get to the second half of 2019 and I think a lot of the builders are viewing, low-to-mid single-digit improvement in single family starts as we go into 2020. So, I think the odds of being at $1.3 million or somewhere north of $1.3 million are pretty good in 2020 as long as mortgage rates hold them where they are. And certainly given where commodity costs are. And more of the builders shifting towards first time buyers and dealing with the affordability issue. So I think I'll give Kudos to [indiscernible] I think they were a couple of years ahead of other people in addressing that market opportunity and several others on the national side have started to move towards more low entry level homes and are making progress on the affordability issues. So I think our view is at 2020 may look considerably better than 2019 because of the weather disruptions on the front half of the year. And if we get a normal weather pattern in 2020 you could see us pushing towards a $1.3 million, which will look pretty good compared to full year 2019
George Staphos: Wayne does the affordability issue and the need to right size, the new home relative to the new buyer so to speak, does that take away some of the growth that you would have otherwise thought that we would have otherwise expected for engineered wood? You know say a couple of years ago, if we're building smaller homes, do we need as much EWP as we would have otherwise expected?
Wayne Rancourt: I think our view here is that if we get single family growth of three to five, that will just slightly exceed the volume loss from smaller, medium and an average home sizes. So it's probably maybe a 1%, maybe a 2% plus in terms of product consumption, but you're going to need something in the 4% to 5% pickup rate in single-family to offset the change in home size.
George Staphos: Understood. Two last ones and I'll turn it over. It's been a while since we've asked on this, any impact that you've seen in the market from the new supply in plywood that had come on a couple of years ago, from what we recall that has some operating issues to the extent you feel comfortable, what effect did they have in the market. And then could you update us on your longer term thesis in terms of what you think normalized EBITDA for this business should be mid-cycle whenever we have that next mid-cycle. And the need to be long veneer given what would ultimately be a shortage of veneer. Thank you.
Wayne Rancourt: Okay. So let me start with your first question, which is plywood mill at the private equity guys restarted or rebuild? I think relative to the impacts from the OSB plant construction and what's coming in from Brazil, that P facility is a bit of a rounding error and not noticeable in the market. And I don't clearly have an detailed view of what their operating rate is, but, but it's in the grand scheme, it's a rounding error. In terms of mid-cycle in the wood products business, there are considerable puts and takes. I think, when we did our IPO, we thought we would have about $45 of EBITDA margin in the plywood portion of our business and that we would be running somewhere around 1.5 billion on production. And we've obviously offloaded, monitored and made some other changes. So, I think our steady state production is probably closer to 1.3 billion, may be 1.4 billion and certainly with what's happened on the OSB side, I'm not sitting here today feeling like we're going to get $45 of EBITDA margin in our plywood business. Short of some changes and obviously we're working on an operational improvements to try to re-expand EBITDA margins. But that's probably the piece of the – the earnings puddles is all in wood products. That's the most challenge relative to what we would've expected five or six years ago. I think the engineered wood story very much intact. Short of the fact that we're 150,000 or 200,000 starts shorter where we thought we might be at this point on housing starts. But I think our penetration, our market share gains, et cetera are good. If I look at where our input costs are today and relative to selling price, I think the margins are in line with what we expect. Again, the volumes aren't quite where we thought they'd be, but it's still a very good business for us and it remains to be seen what impact the new Roseburg facility coming up in South Carolina late this year or early next year will have. But again, fundamentally feel very good about that business. And then obviously closing a couple of lumber mills, selling off our particleboard plant. The wildcard to me is, the difference between being at 130 million in EBITDA and 170 or 175 million in EBITDA is what you think happens on structural panels? But, I think today I would tell you that the wood business is probably in the low-to-mid 125, 150 range. But we've got work to do on our cost side and we'll see what impacts the Roseburg facility has and frankly, whether or not housing starts can continue to get towards 1.4 million 1.5 million. The demographics are certainly there to support it, but if we stay at 1.3 million, it's going to be hard to be meaningfully north of, in my opinion, 125, 150 in the wood business given what's going on with structural panels and OSB.
George Staphos: Thank you Wayne. Good luck in the quarter guys.
Tom Corrick: Thank you.
Operator: Your next question comes from the line of Mark Wilde with BMO Capital Markets. Your line is open.
Mark Wilde: Thanks. Just a couple of follow-ups as well. One of them is just the, when we look at the APA data that a year-over-year declines in I-joists and LVL were both quite large. I think you've addressed a little bit of this already, but I'm just curious as to whether you think there's some substitution that kind of went on and the first quarter maybe because dimensional lumber was so low, or whether this is just a sort of an aberrant quarter, here in the first quarter that reflects weather and other things.
Nate Jorgensen: So Mark it is Nate Jorgensen. Let me – I think Wayne spoke to a big piece of the dynamic, which was the, again the kind of the West Census region. Given the penetration, typically that we see, especially with I-joist in that part of the country when starts were off on a quarter over quarter basis, I think it was 27%. That has real impact in terms of I-joist consumption. So, I think that was a key part of it in terms of what took place in the west and really across the business. I guess the other thing that we look at and we worked at and paid close attention to it, is working with a range of builders in terms of a conversion to dimensional lumber. And we really just are, we don't see a lot of change. Typically when builders get locked in on subdivisions and even products in a given marketplace, they tend to stay very kind of committed to that solution. So, we're not seeing, seeing a lot of interchangeability from going from an I-joist solution to a dimension lumber solution. And we didn't really see much or experience much of that in Q1 based upon the build relationships that we had. So again, from our vantage point, it's largely west related, weather related and we haven't seen really any significant impact in terms of conversion back to dimensional lumber at this point.
Tom Corrick: And it's not, not a huge driver for us today, Mark, but the other pieces, we've got a pretty decent effort that's been underway now for 18 plus months to get more of our engineered into multifamily construction and light commercial construction. And I think over time, that's another avenue that can give us some growth in the volumes outside of what's going on single-family starts. So as we think about the second half of 2019 and then to 2020, that's one of the initiatives that we’ll put a fair amount of effort behind, is trying to get volume growth on the engineered wood products that's beyond what's just going on with single-family starts.
Mark Wilde: I was just going to ask that light commercial, like if I see these kinds of three and four story kind of wood frame, hotels going up in the suburbs, that kind of stuff.
Nate Jorgensen: Yes Mark it is Nate. Yes, exactly. So that would be the various hotels and that's an active marketplace in one that we do well in and as Wayne had described this is an area of focus that we expect to further grow our penetration in those kind of opportunities.
Tom Corrick: Okay. Last thing I would say, Mark, when you look at first quarter last year and first quarter of this year, last year we had a price increase. Demand was very strong and very mild winter and I think people were worried about where their next sticky LVL was going to come from, where their next I-joist was going to come from. And so there was aggressive buying ahead of demand just to make sure you had inventory this year. So far I don't think people have been overly worried about availability of product and so they're carrying lower inventories and I think you saw a swing and increased inventory in the first quarter last year that we’re just not seeing this year.
Mark Wilde: Okay. All right. That's helpful. Finally, Wayne possible to get a sense of sort of log cost benefit in the first quarter and also whether there were any kind of inventory adjustments in the numbers.
Tom Corrick: Yes, go ahead Mike.
Mike Brown: Yes, I guess what I'd say Mark is if you look across our entire system a year-over-year there wasn't that much of an impact really in every cost. Geographically there was, so in the Pacific Northwest, particularly on the coast, I mean of course log costs have come down relatively significantly. But at the same time I think it was Tom that mentioned because we have a purchased logs that have been bought in the last two or three years that we have to consume. It was a fairly muted sort of decrease all things considered. In the south our log costs were basically flat to up, like less than a 1%. So over the entire Boise Cascade system, it was almost no either positive or negative impacts from log price variance, which is probably not what you thought I was going to say, but when you roll it all up, that's sort of what it looks like for of us.
Wayne Rancourt: Probably where we got the most cost input relief was on OSB that we used for the web part of our I-joist, the vertical part of the eye. We use about one square foot for every lineal foot of I-joist and that's where we probably seen the most cost relief is on that OSB input cost to make I-joist.
Mark Wilde: Okay, that's helpful. Thanks. And then the inventory issue Wayne.
Wayne Rancourt: Really haven't seen any movements or adjustments on the inventory.
Mark Wilde: Okay. Super, that covers it for me.
Tom Corrick: Appreciate it. Thanks Mark.
Operator: We have no more questions.
Wayne Rancourt: Thanks Emily. You've got any comments you want to make?
Tom Corrick: Yes, quick wrap up. Obviously a challenging quarter for us, particularly compared to 2018. I'd say given the ongoing challenges with pricing our focus on growing our EWP and distribution businesses continues to help our performance, particularly as demand recovers from this winter and the slow down we saw there. So, all in all, I feel good about the direction we're headed. I want to thank everybody for joining us today and have a good day.
Wayne Rancourt: Thanks Emily.
Operator: This concludes today’s conference. You may now disconnect. Have a great day.